Operator: Ladies and gentlemen, thank you for standing by. I am Galli, your Chorus Call operator. Welcome, and thank you for joining the OPAP S.A. Conference Call and Live Webcast question-and-answer session to discuss the full year 2022 financial results.  Please note, a video presentation has been distributed and is also available on the OPAP Investor Relations website. [Operator Instructions]. And the conference is being recorded. At this time, I would like to turn the conference over to Mr. Jan Karas, CEO of . Mr. Karas, you may now proceed.
Jan Karas: Thank you very much. Good evening or good morning to everyone, and welcome to our regular full year 2022 Results Conference Call. I couldn't be more pleased with the set of results announced, delivering record high Q4 GGR and concluding the full year EBITDA that certainly exceeded our latest outlook. 2022 has been challenging for all of us. However, for OPAP. It's been a year of delivering tangible progress in further upgrading our customer experience and rejuvenating our recreational mix.  We are also happy to announce a generous shareholders remuneration of that comes on top of the EUR 0.30 already distributed as interim in November 2022. We expect 2023 to be another year of success, supported by stable macro environment and our well in-place strategy. Hopefully, you have reviewed and enjoyed the results recorded video we shared with you earlier today. So we will jump directly to our Q&A session. Operator, over to you.
Operator: [Operator Instructions]. The first question is from the line of Draziotis Stamatios with Eurobank Equities.
Stamatios Draziotis: I hope you can hear me well. Let me first start with a question on your online offering. You recently launched a new online sportsbook. In your presentation, you actually sounded upbeat about this. I'm just wondering what is different this time? Because you made the -- you have made a foray into online sports, well, a few times in the past, but you did not get the traction you had been hoping for.  And on the online lottery front, it seems that we -- that finally the time has come for online KINO. Have you done any work any research shown based to see what sort of opportunity we are potentially talking about. So that was my first question.  Secondly, on shareholder remuneration I think you surprised on the upside for yet another year. My question is straightforward. I think you paid EUR 1.5 last year with a one-off element for this year, mainly including a small one-off. Given the growth in profitability in 2023, the significant net debt reduction in 2022 and the propping up of your equity position, is there any reason why shareholders should expect anything less than EUR 1.5 barring any opportune event, of course. So that's my second question.  And lastly, if you could update us on the situation with Hellenic Lotteries and the arbitration related to the minimum gaming duty, please?
Jan Karas: Thank you very much for your questions. I'll take 2 of them, and I'll leave for Pavel to comment on the dividend. So regarding online offering, the new online sportsbook. Yes, you're right. We already have a couple of not-so-successful attempts to shine with our sports book going as far as back as 2016, '17 times. But this time, we are absolutely sure that we do it right because the setup is very different, much stronger team, much better experts on board and much stronger and provenly successful partner to deliver the solution.  I'm referring to open [indiscernible] who is delivering the back-end platforms for the new sports book. So a lot of things are new. From a customer perspective, though, the key thing they see is a very innovative and fresh UX and UI. So for the sports book fans among yourself, you can see for yourself and when comparing with competition, there is a lot of elements that are quite innovative and new. So let's say the latest state-of-the-art in UX and UI.  Second, I would say maybe even the most important thing, way, much faster navigation, so it's really super-fast, and that's what customers look for and appreciate because every second counts in sports betting.  And last but not least, there is a lot of new features, both content-wise as well as social features preferred by the young audience. So overall, we believe it's a really significantly better proposition and certainly very competitive to anything else you can find on the market.  Your second question was about iLottery. It's coming really soon. And in terms of the opportunity we see -- that is depicted in our expectations for this year where the whole online, we expect to achieve another double-digit or, I would say, single teens percentage growth year-over-year again, and that certainly iLottery should contribute. It's quite a new thing for this whole market, bringing all the different games to our customers. So we are, ourselves, looking forward how successful it will be anywhere from successful to extremely successful, that is yet to be seen in terms of popularity and engagement of the players that possibly do not play today, it's something that we are looking forward to see. It's a mass market proposition and accordingly, we have pretty high expectations from that.  Regarding Hellenic Lotteries arbitration, I don't have any updates for you on this front as promised once again as soon as there are any updates, you will certainly be among the first ones to hear.  Thank you. And I'm handing over to Pavel to comment on the third question.
Pavel Mucha: Okay. Good afternoon from me. The question on shareholder remuneration, we are committed to our previously announced dividend policy. That means to distribute more than our net profits with a minimum floor of EUR 1 per share and to add additional special dividend distributions on [indiscernible] basis. As you rightly mentioned, both the remuneration for '21 and '22 included the extra element of capital return. And as you prompted our -- this dividend policy remains in place. But obviously, we have recorded Betano gain in our 2022 results. And we have already communicated previously that we will be intending to distribute this gain to the shareholders. So I hope this answer your question that the expectation can be again a bit more than EUR 1 distribution for 2023.
Operator: The next question is from the line of Tzioukalia Fani with Wood & Co.
Fani Tzioukalia: Congratulations on the strong results. I have 2 questions, if I may. The one I have to do with the royalties performance in the fourth quarter, the period quite strong. I think there was a record net drop per VLT per day. I was wondering if this is something that we should consider as sustainable going forward. I understand there might be some seasonality due to higher customer traffic. But I'm trying to figure out if this is a number that we should be looking due to the optimization of the machines as well.  And the second question is just if you could provide us with some color on the first quarter of 2023 in terms of performance?
Jan Karas: Thank you very much for the question. In terms of VLT performance, it certainly continues to be strong in Q1, and I'm partially answering your second question. And as you correctly pointed, primarily driven by activity of players. That's something we're generally connected with this after COVID recovery, things getting back to normal, people very much willing to have fun every day and not just wait for it to come in the future. So all that connected is creating an environment where we see more and more people coming. This is a trend that we expect to continue, and this is something, obviously. We are very much focusing on nurturing and further developing upgrade of the VLTs is one of the things, but there is also a lot of CRM activities, loyalty scheme. I said that, that should be helping us in developing the players and increasing the active base overall, leading to further growth of the VLT business.  VLT business is undoubtedly one of the growth categories that is powering our year-over-year evolution. In terms of Q1, I'm happy to share that the -- following the very strong Q4, the results in Q1 so far continue to be pretty solid. So we have good reasons to be slightly optimistic about the future. But you all know how the political situation currently looks like there is still a lot of question marks around inflation, energy prices, et cetera. So we want to be reasonably cautious at the same time, especially in terms of the macro environment.
Operator: The next question is from the line of Nekrasov Maksim with Citi.
Maksim Nekrasov: I have a few questions. So the first question is on the fourth quarter and revenues were a bit lower year-on-year, particularly in online despite the World Cup. So I'm wondering to what extent this was in line with your expectations? And how this performance can be attributed to higher online betting competition. And generally, what's your house in competition in online? That's the first question.
Jan Karas: Please continue. I had a slight problem hearing you, but we will agree here what the question was. Can you continue with your second question?
Maksim Nekrasov: Can you hear me now?
Jan Karas: Yes. I was asking if you want to say all your questions or do you want us to provide an answer first on the first one?
Maksim Nekrasov: Please proceed with the answer.
Jan Karas: Okay. Give me just 1 second because I was a little bit struggling to hear you. So I need to understand from the colleagues what was exactly the question to make sure I'm answering the right answer.
Operator: I'm sorry to interrupt, maybe Mr. Nekrasov would like to repeat his question. So you can understand clearly, please.
Maksim Nekrasov: Yes. Yes. Let me repeat it. So the question was regarding your betting revenues in the fourth quarter which were down year-on-year and especially in the online. So I was wondering how -- whether it was driven by online competition. And generally, how significant this competition in online?
Jan Karas: All right. Thank you for repeating it. The Q4 performance was -- it was about World Cup. We had pretty big expectations from World Cup. Our expectations was -- were largely around the usual experience with World Cup, which happens in a very different period normally. So what we found out that at the end of the day, the World Cup was certainly below our expectations in terms of GGR generated. There was, however, a lot of positive upsides coming from the increased traffic that was in stores anyway and people playing also other games.  But because during World Cup, there was a very weak other calendar -- 1 other sports within calendar. So there was a lot of single batch involved because the results of the matches were largely in favor of the players, I mean, customers that certainly didn't help as well. Overall, the World Cup performance in also sports betting only was slightly below our expectations. Something a trend and observation we have seen across many betting companies across EU market that we speak to. So there was rather a common slight disappointment with the results of the World Cup across the industry.  Your second question was how did we perform versus competition during World Cup or generally?
Maksim Nekrasov: Yes. I mean during the World Cup and generally?
Jan Karas: Yes. So during World Cup, I commented earlier. Generally, we are certainly -- we continue to be happy with our strong position OPAP together with Stoiximan being a dominant player and seeing continuously increasing business in absolute terms. So that's a good one.
Maksim Nekrasov: Okay. And can I ask you on your 2023 guidance. So you expect revenue to grow 6% to 10%. And how much growth do you expect we consider separately online and offline. Do you expect offline to grow? And what are expectations regarding iLottery [indiscernible].
Jan Karas: We -- thank you for the good question. We expect some minor growth in retail as well. But is primarily about keeping our strong position and innovating to keep customers interested and excited, especially in the area of entertainment and socializing and digitalization, as our strategy indicated. So retail is about maintaining our strong position and exploring opportunities for growth. But if you want to put a number there, we are talking about some low single-digit number of growth.  The key growth area, obviously, is online, where as I indicated earlier, we expect some low teens growth year-over-year, and that is driven by both further evolution of Sports book and Casino, the noncompetitive part as well as the completely new one exclusive part of iLottery world that we plan to introduce.
Operator: Next question is from the line of Pointon Russell with Edison Group.
Russell Pointon: I have a couple of questions, if that's okay. My first one is kind of a bit more top-down in terms of looking back at this time last year. I mean effectively, you delivered EBITDA for the year that was at the top end of your guidance from the start of last year. But I think revenue is probably a bit more than 10% lower than you initially estimated. So from a revenue perspective, could you just give an idea of what was better, what was worse than you expected? I mean you talked positively about what you're achieving with your new online initiative and probably that's being rolled out. And there was an obvious macro impact as the year went on.  But could you just give us -- kind of give us some feel for what was better, what was worse? And in terms of cost inflation. Could you just talk about what you're expecting this year, particularly from staff cost because your staff costs went up this year. You're obviously doing the right thing and helping staff to cope with the cost of living crisis better. So -- is there kind of more inflation coming in this year from that because you were late on for that? And does that account for the main reason why the margin guidance for the year is lower? Or are there mix effects as well?
Jan Karas: Yes. I will comment first on the revenue side. Obviously, the year has been a bit of a rollercoaster and so do macro environment. The whole impact, both psychological as well as economical of the war in Ukraine and the energy prices, cost of living difficulties for many people. Our agents suffering in our return network throughout the year where we had to provide a lot of subsidies. It was quite a bumper that certainly took its toll on revenue. So if you ask me that was certainly the negative impact on revenues.  On the positive side, we were pleased with the resilience of VLT business that was recovering, I would say, finally exceeding our expectations. So that was nice. Our casino in online was a very strong growth year-over-year where we have proven then when we have everything under control and also the customer proposition and the right front end in place, we can deliver really good results. So that is how has been strong throughout the year, further building the business. So those were some of the positive upside scratched towards the end of the year was getting stronger with a 20% growth year-over-year. So yes, we're good size that were a bit sites. But overall, the result, I believe, is very good. Pavel, you want to...
Russell Pointon: So can I just come back. So really, the main reason why revenue was weaker was macro because the other stuff was pretty strong.
Jan Karas: Yes. Macro was the reason. For us, it's obviously not macro but its impact on our customers and their willingness to play and the different moves that were in the society because we are in the entertainment industry and there were certainly points of time last year where it was not very entertaining for people. And a similar situation we can see now around absolutely tragical accident with the train that had an impact on our business immediately. We have seen people spending less time in the evenings in the shop side, generally not being exactly ready to have fun and parties. So these things always do these -- any kind of negative engines and moments in the society have always an impact on us. So that covers your question.
Pavel Mucha: Okay. I will take the second question regarding cost inflation. We are always carefully looking at our cost base and managing really our total costs. It was not easier in 2022 with the macro turbulence and with the high inflation, which got eventually to double digits now lately in recent months, it eased to high single-digit inflation. And this is our expectation also for the 2023. Of course, it somehow impact our forecast. We are able to extend our negotiation power with the vendors, and we are always trying to split an inflationary increase between us and the particular vendor. And definitely, it has impact on our projection going forward, together with the fact that, remember, in the first 5 months last year, we had still significant green path limitations COVID-related, which also helped us in the initial months of last year to have slightly lower cost.  But basically, when you asked about how it influenced the margin in our outlook, there is a bigger impact, not so much from cost inflation, but really from the mix, which we assumed between the channels. And obviously, we are growing significantly in online, which has a lower margin and our implied margin of 35.7%, which is the midrange margin of the outlook which we gave is not far away when you look at '21, '22 where we were at 36%, 38% level. So it's still within this range.
Operator: [Operator Instructions]. The next question is from the line of Zouzoulas Constantinos with Axia Ventures.
Constantinos Zouzoulas: One question from my side. Do you have any updated data regarding the profile of your customers, both online and offline and especially if we talk about offline in respect of your KINO customers?
Jan Karas: This is an interesting question. I think I would need a little bit more credit as to what you're interested in because our -- we obviously do have an updated data. We have a lot of customer tracking mechanisms in place, both monthly customer trackers as well as many various researches on the customer segmentation. So there is a lot of data available last but not least from our loyalty scheme where we have currently more than 700,000 customers registered, then we know how they play and what they play. If your question is what differences we see in an evolution of the structure of customers...
Constantinos Zouzoulas: Actually, just to be a little bit more specific. I'm trying to understand if we -- talking about offline now, if you have new customers in the stores, and I'm trying to connect this with the growth of the economy? And secondly, if the profile of KINO players is different versus your -- the other -- the profile of the players, the other games? And how we can interpret this as KINO moves online.
Jan Karas: All right. So let me try to answer. The first thing -- we have with -- across all verticals or most of the verticals and certainly including KINO, we have seen the highest penetration of the game ever in Q4, and it's a trend that continues.  So point #1, yes, there is increasing number of KINO players, and so is it for other games as well. By the way, the very high penetration or the record high penetration for many of the verticals was connected with the side benefit of World Cup that I was mentioning before, the increased traffic and people playing other games, point #1.  Point #2, we see a continuously increasing trend of number -- average number of games that people play when they come to the store. So that is -- it's important to know there is no such thing as a KINO player or KINO only player. A majority of players played on -- the regular players play on average more than 2.8 games. So that they typically large overlap of sports betting and KINO players. So there is a lot of overlap, and that is a sense of our business. We want people to have fun with multiple games when they come to the store and to retail.  Next, when it comes to online versus retail and KINO, it's also important to recognize or realize and we will bring you more update on that next time that the online lottery proposition is really not about KINO online because that's what we are doing today with Joker and that's not enough. People expect much more. So we are bringing them a portfolio of games and the user interface will be very much about engaging them just to play anytime, anywhere for a few minutes and attract large volumes of audiences to play. So it's not about someone sitting at this computer and playing for 2 hours KINO. It's an entertainment hub. It's not -- it's only second it's KINO in online, KINO gaming online. It's -- think of it as more something that is in the background, but the front end is entertainment and mix of games. Does it cover you?
Constantinos Zouzoulas: Yes, yes, very interesting.
Jan Karas: Yes. Thank you. Well, sorry, we cannot tell you more now, but rest assured the next time we will share with you more than that.
Operator: The next question is from the line of Scherzer Reuben with Times Square Capital Management.
Scherzer Reuben: Congratulations on a very strong year of performance. My question is just building on an earlier question. Am I accurate in understanding 2023 revenue guidance is 6% to 10% year-over-year. Was there a range provided for absolute EBITDA or for EBITDA margin for 2023. And I'm curious about the EBITDA level given how strong the margin came in for 2022?
Pavel Mucha: Yes. So we have provided not only guidance for the GGR, but we have provided also guidance for the EBITDA, and that is EUR 740 million to EUR 760 million.
Scherzer Reuben: So that 7-4-0 million to 7-6-0 million, yes?
Jan Karas: Correct.
Pavel Mucha: Yes.
Scherzer Reuben: Okay. Okay. And the GGR is 6% to 10%?
Jan Karas: Correct. Yes.
Scherzer Reuben: Okay. Okay. Okay. What's the -- I don't have the math at my fingertips here, but the absolute EBITDA range. What does that translate to in the margin range -- for margin range?
Pavel Mucha: It's around, let's say, 36%, it's around 35.9%, 36%.
Scherzer Reuben: So that would be a decline year-over-year. Is that accurate, then, if you came in at the range -- in the range?
Pavel Mucha: That would be what, sorry?
Scherzer Reuben: One.
Jan Karas: No, we certainly expect to grow EBITDA. This is maybe a conservative assumption in terms of our margin mix between retail, online. And certainly, we need to properly support the growth of the online and introduction of the new online lottery. And we will update you as the year progresses how we are doing against this outlook? And if there is any change.
Scherzer Reuben: And the EBITDA margin last year came in roughly at around, what, 38%? Is that accurate?
Jan Karas: Yes. Our actual 2022 margin was 38%. That's correct. And I think what we have to think is to continue and maintain very healthy margins.
Operator: [Operator Instructions]. We have a follow-up question from the line of Nekrasov Maksim with Citi.
Maksim Nekrasov: I have a couple of follow-up questions regarding the panel business. So the first one is, when do you expect to receive the remaining sum like EUR 130 million or [indiscernible] sale? And the second question is basically, do I understand you correctly that last year, you reported EUR 15 million income from associates. This was coming from your share in Betano that you sold in December. So there will be no such income in 2023. Am I correct?
Jan Karas: Yes. So I answered the second question. This is correct. That was the share of profit associated. That was the income from Betano, which will not be coming in '23, correct. And when to expect that, the future payments will depend on the performance of Betano. So basically, there is a structure of the earnout depending on the future performance of Betano.
Maksim Nekrasov: So it will be prolonged in several years, right? So it won't be like in 2023?
Jan Karas: Yes. This is to be seen depending really on performance, I would say. I don't want to speculate at this stage.
Operator: Ladies and gentlemen, there are no further questions at this time. I will now turn the conference over to Mr. Karas for any closing comments. Thank you.
Jan Karas: Thank you very much. Thank you very much for being with us today to all of you. We will be looking forward to talk to you again in a couple of months upon the Q1 '23 results announcement. But hopefully, we will have fresh news also from our iLottery launch as I have promised. Thank you very much for all your questions. Thank you for the patience and being with us, and have a great day, everyone. Bye-bye.
Operator: Ladies and gentlemen, the conference is now concluded, and you may disconnect your telephone. Thank you for calling, and have a pleasant evening.